Operator: Good morning, everyone. I will be your conference operator today. At this time, I would like to welcome everyone to the Advent Technologies Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. On the call today, we are joined by Dr. Vasilis Gregoriou, Advent's Chairman and CEO; and Kevin Brackman, Advent's CFO. Before we begin the prepared remarks, we would like to remind you that Advent issued a press release announcing its fourth quarter 2021 financial results shortly before market opened today. You may access the material on the Investor Relations section of ir.advent.energy. I'd like to remind everyone that during the course of this conference call, Advent's management will discuss forecasts, targets, and other forward-looking statements regarding the company's future, customers orders, and the company's business outlook that are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 for forward-looking statements. While these statements represent management's current expectations and projections about the future results and performance as of today, Advent's actual results are subject to many risk and uncertainties that could cause actual results to differ materially from those expectations, in addition to any risks highlighted during this call, important factors that may affect Advent's future results are described in its most recent SEC reports filed with the Securities and Exchange Commission, including today's earnings press release. Except as required by applicable law, the company undertakes no obligation to update any of these forward-looking statements for any reason after the date of this call. Lastly, information discussed on this call concerning the company's industry, competitive position in the market, which it operates is based on information from independent industry and research organizations, other third-party resources, and management's estimates. Management Management estimates are derived from publicly available information released by independent industrial analysts and other third party resources, as well as data from the company's internal research, and are based on assumptions made upon reviewing such data and the experience and knowledge of such industry and markets, which it believes to be reasonable. These assumptions are subject to uncertainties and risks which could cause results to differ materially from those expressed in the estimates. Please note this call is being recorded. Kicking off the call will be Dr. Vasilis Gregoriou. So, Dr. Gregoriou, I will now turn it over to you.
Vasilis Gregoriou: Thank you, Operator. Good morning to everyone listening in, and thank you for joining us on Advent's fourth quarter 2021 earnings call. I'm joined today by Advent's CFO, Kevin Brackman. On today's call, I will provide comments regarding our fourth quarter result, followed by an update on the business. I will then hand over to Kevin, who will give a review of our financial performance and outlook in more detail. 2021 was a very significant year of change and progress for us. On February 2021, after the successful listing on NASDAQ, Advent has grown from a headcount of our 50 to nearly 200 people, in December 2021. And now, had additional offices and manufacturing facilities in Denmark, Germany, Silicon Valley, and the Philippines. We now have a global structure of integrated manufacturing and sales force. Prior to 2021, Advent has grown organically into an advanced fuel cell materials manufacturer with the target of moving across the value chain to both lightweight and stationary advanced fuel cell systems. During 2021, the acquisitions of UltraCell, SerEnergy, SerEnergy Philippines, and fischer eco solutions enable Advent to leapfrog ahead by years, which effectively accelerated our development and growth plan. The acquisitions have brought together some of the leading expertise in the high-temperature fuel cell space, and have expanded Advent's platform to meet the increasing demand for clean energy worldwide. We now hold around 190 issued and pending patents, worldwide, for our fuel cell technology, and have 38 R&D programs, allowing Advent to offer a spectrum of products to the fuel cell market, from advanced material to final systems. After the acquisitions, UltraCell, SerEnergy, SerEnergy Philippines, and fischer eco solutions were consolidated and integrated under one structure and one branding. This consolidation to maximize efficiencies of scale began in earnest in 2021, and will continue throughout 2022. The activities throughout our global reach can now be summarized as follows. We are headquartered in Boston, Mass. We're building state-of-the-art membrane electrode manufacturing facilities in Charlestown, Mass. In Livermore, California, we design and manufacture light-weight system with the former UltraCell staff. Denmark and Germany research development and assembly responsibility for Advent's five-kilowatt to 15 kilowatt SereneU systems. In the Philippines, we service the telecom market through our sales, service, and site operation. And in Greece, we have expanded our MEA production in polymer   capacity, including polymer for the next-generation Advent MEA. We are now rolling out complete hydrogen fuel cell systems, and our global sales force has expanded our reach across North America, Continental Europe, the Middle East, and Asia. The business focus is on the production of advanced fuel cell materials lead to the direct sales on the development of advanced fuel cell systems in collaboration with OEMs will enable us to enter into long-term licensing agreements. In the fourth quarter, we delivered $2.9 million in revenue, up 714% from the prior year, driven by strong customer demand for Advent's high-temperature MEAs, fuel cell systems, and flow battery material. We also collected $3 million from SerEnergy customers during the fourth quarter related to pre-acquisition revenue. For the full-year, we generated $7.1 million of revenue. On a pro forma basis though, as if SerEnergy and fischer eco solutions have been acquired at the beginning of the year, our revenue would have been $16 million. We continue to have strong cash reserves, totaling $79.8 million at year-end. Overall, our performance this quarter and for the year leaves us confident about the long-term growth and earnings potential of the company. Our last quarter validated our business model, and I will now give an overview of the selection of our  . In October, we announced that the new order has been placed for Advent's SereneU System for the rollout in the Asian market. The new fuel cell spectrum reformers are intended to support internal testing set-ups to evaluate performance and to showcase results with Thai telecom operator. Our business in Denmark has been partnered with Thai-based Alright Combination Centric since 2017, which is a product distributor and service provider to Thailand's information and communications technology business. The five-kilowatt fuel cell will address the multimillion dollar telecom sector in Thai. Advent's SereneU fuel cells are fourth-generation fuel cells, and this generation   advantages including longer lifetime, less service and maintenance fees, and improved total cost of ownership. The product upgrade places Advent's fuel cells in a pivotal position to respond to an increase in global demand for sustainable entity. Also in October, Advent announced that with its partner, Smart Communications, which have successfully completed the first installation of the HG 5000 fuel cell system across the Philippines. The delivery agreement was made early in 2021 with Smart Communications, and this partnerships follows the commitment to the United Nations Race to Zero Campaign. The movement of the global industry of mobile network operator Skylight is broad-based commitment to zero emissions for all  . Smart's shift to green energy follows the announcement of the Philippine's Department of Energy that the government would no longer accept proposal to build new coal power plants. This significant policy shift support the development of clean energy sources to help ensure a more sustainable growth for the company. In December, Advent and BASF signed an MOU to develop an increased manufacturing scale of advanced fuel cell membranes designed for long-term operations under extreme conditions. Under this agreement, we will explore the implementation of high volume manufacturing for cell tech membranes, utilize Advent's fuel cell stack and system testing facilities to assess and qualify the new cell tech membrane for our SereneU product to telecom power, M-ZERØ product for methane emission reduction, and Honey Badger product for portable products. In addition, BASF supports our realization of the White Dragon and Green HiPo projects, which are pending EU approval to materials for power generation, hydrogen generation, and power storage. These will also evaluate the   of the ion pair membrane developed in collaboration between Advent and the U.S. Department of Energy. Advent is working to increase the performance and scope of its products to satisfy the requirements of its customers and to address new applications by development of next generation fuel cell materials. Also in December, Advent announced that this fuel cell unit for the marine sector developed within the framework of the RiverCell Consortium has passed safety testing, as well as safety assessment completed by DNV, one of the world's leading classification societies. The RiverCell project is dedicated to the design and development of the fuel cell hybrid system for inland vessels. In addition to cutting greenhouse gas emissions, the hybrid concept demonstrated an increase in both safety and efficiency in shipment. As part of the demonstration, the prototype of Advent SereneU marine fuel cell unit was successfully integrated into a modern hybrid DC electric energy grid, which was equipped with all relevant subsystems, including battery storage. During the fourth quarter, we continue to progress the White Dragon and Green HiPo project in South Western Europe. The goal of the two projects, as submitted by Advent and the White Dragon Consortium of companies is to replace Greece's largest coal-fired power plant with renewable solar energy parks, which will be supported by CO2-free hydrogen production of 4.65 gigawatts capacity and fuel cell heat and power production of 400 megawatts capacity. Through Green HiPo, Advent will use renewable electricity to produce green hydrogen by electrolysis. This green hydrogen is converted to clean electricity, green energy and heat through Advent's high temperature PEM fuel cell. The products are part of the Hydrogen Technologies IPCEI with the European Union. While the approval timeline is not within our control, we're expecting former notification from the EU during Q2 or Q3 this year with final notification by the European Commission shortly thereafter. In parallel, Advent has started to put in place an operational structure that will deliver on these significant power projects with Advent being ideally poised to commence immediately upon final ratification. We're pleased to be the technology partner for such a large and important environmental project in Europe, and to have received approval from the Greek government. We look forward to be able to provide more information on EU approval and the final scope of the project over the coming months. Advent remains well-positioned to take advantage of the growing focus on clean energy, and  governments, businesses, and societies will work together to address the climate crisis. We believe that clean energy technology and the hydrogen economy will play a key role in   decarbonization. With that, I'd like to hand over to our CFO, Kevin Brackman.
Kevin Brackman: Thank you, Vasilis, and good morning, everyone. Turning to our financials, as Vasilis noted earlier, we delivered revenue of $2.9 million in the fourth quarter, a 714% increase from the prior year. The increase was driven by growing customer demand for Advent MEAs, fuel cell systems, and other advanced material products. We also collected $3 million from Solar Energy customers during the fourth quarter related to pre-acquisition revenue. For the full year, we generated $7.1 million of revenue. On a pro forma basis, if SerEnergy, fischer eco solutions have been acquired at the beginning of the year, our revenue would have been $16 million. Cost of revenues increased $2.6 million year-over-year in the fourth quarter. The increase was directly related to revenue growth over the last year, and the requirement for increased production of MEAs and fuel cell systems to satisfy customer demand. R&D expenses were $2 million in the fourth quarter, primarily related to our cooperative research and development agreement with the Department of Energy as well as the R&D costs as SerEnergy and fischer eco solutions. Administrative and selling expenses were $14.3 million in the fourth quarter, a year-over-year increase of $12.4 million, primarily due to increased staffing and costs resulting from the acquisitions of SerEnergy and fischer eco solutions, and the cost to operate as a public company, and to incentive and stock-based compensation expenses. Net loss totaled $9 million in the quarter, and adjusted net loss was $15.9 million. I should note that our adjusted net loss excludes a $6.9 million gain from the change in the fair value of outstanding warrants. Our net loss per share was $0.18 in the fourth quarter. Advent remains well capitalized with $79.8 million in cash reserves on the balance sheet at year-end, which provides us with the flexibility to be agile in executing on our strategic and operational priorities. This is a decrease of $12.7 million from September 30, 2021 driven by the increased level of R&D and administrative and selling expenses. Our existing cash reserves and projected cash flows are anticipated to be sufficient to support our planned operations for the next 12 months. I will now turn to our outlook. Advent has developed significantly during 2021. And we have entered 2022 with a more advanced product range. A dedicated technical sales team focused on key sectors and geographies and potentially large infrastructure projects. We therefore have a strong pipeline. As we all know, however, not every opportunity in the pipeline will transpire due to factors that may be beyond Advent's control. Opportunities may not materialize or could be delayed. Advent will use this expertise and resources to bring opportunities to fruition, which will translate into revenue. Due to the long-term contract nature of our business model, the timing of our revenue can also be difficult to predict. Having said that, we anticipate revenue and income from our grants for 2022 to total approximately $23 million, which will be heavily weighted towards the second-half of the year. This estimate does not include a significant contribution from the White Dragon and Green HiPo projects in Southeastern Europe, due to the uncertainty around timing and approval of the project. In closing, we believe that Advent is well-positioned to be the provider of clean energy solutions across a variety of end markets. The company has built a solid foundation for the business and continues to grow and execute on its strategic initiatives. With that, I will hand it back to Vasilis for closing remarks.
Vasilis Gregoriou: Thank you, Kevin. It is clear that the hydrogen economy is now in the commercialization phase, and in Advent, there is a massive opportunity for its advanced materials and fuel cell system products. The repercussions from climate change coupled with an impetus for decarbonization are quite silly factors that cannot are going to be ignored and this requires creative solution as a positive change to address this issue. I would like to conclude by saying that Advent has the technology and products now to create a cleaner, decarbonized world. Advent's offerings are economically feasible in the face of an increased global demand for energy. I would like to thank you all for joining us today, and we're now ready to answer questions. Thank you very much.
Operator: Thank you.  We have our first question from the phone lines from Laurence Alexander with Jefferies. So, please go ahead when you're ready, Laurence.
Unidentified Analyst: Sure, thank you. Good morning, everyone. This is actually Kevin  for Laurence Alexander. So, thank you for my question. Mine was actually just more a broader general question. I guess that, Vasilis, you talked a little bit about it on the call, but I just wondered if you had any more detail or anything new you didn't touch on like on new -- like the new project pipeline given some recent business wins. Maybe any update on timing or potential milestones or just anything that you didn't touch on the call would be helpful. Thank you.
Vasilis Gregoriou: Yes, Kevin, I can put a little bit color to this, as you say. First of all, as you know, we are trying to replace the diesel generator. So, our basic approach is to go after the upgrade, backup power, and the protocol. But with the new tech that we're  , and we made an announcement that you saw very recently with a new generation MEA that we co-develop with , also that is a game-changer. We're talking about automotive and marine also in 2022. So, the whole idea here is that to be able to get the sales. We project, as Kevin said, $23 million, without the big projects, and I'll spend a little bit time on that. And that would be basically driven, as I said, about the existing revenue stream that we project, hopefully backup power, and then the JDAs for the new tech we're developing, because keep in mind that Advent has two major pillars, if you will. One is a fuel cell company right now, 2022, more than 200 people, the patents, the manufacturing capability, the inventories, the almost 1,000 SereneU systems in the field. So, we're not the company that we were before. Now, we're a fuel cell company, so I think the sector also has changed for us. We're with this particular group, people -- and you know the set of companies, yes, with day-to-day U.S. and Canada, in the U.K., Sweden. So, we need to be looked at that. And I think, as I said, 2022 will be a big year for us. Now, the other potentially big thing, and I say that because we announced it on September 7, where we actually got two of the five approved out of the 20 submitted projects for IPCEI from the Greek government. And one is the White Dragon, and the other is the Green HiPo. The Green HiPo is ours; the White Dragon is a consortium with the largest energy companies. But what we know there is that, at least for the Green HiPo, is that we have gone through the second set of questions. And I think in the next few months, as I said before, either Q2 or Q3, we expect they're going to go. And there we will know. Now, are we optimistic or pessimistic? I will say we're very optimistic. The reason being that there are two things that have happened, one is the geopolitical aspect of it, and I think it's very obvious that Europe will put a lot of effort on renewables for energy independence, and hydrogen will be big part of the storage, because right now the renewables don't have very good storage or batteries are not good enough, and hydrogen is coming up now. But take our word for it; hydrogen will be a big part. So, it's not going to be only in a gas form or a liquefied form, we'll find out what it is, and all of them are there. But we also believe, as you know, in methanol fuels use hydrogen to produce fertilizers. The fact of the matter is the geopolitical thing; it was before strong enough, has become much, much stronger because of the war. And the other is the geo-economical part of it. Keep in mind that all the other things have become very expensive also, not -- liquefied natural gas is also expensive. Bring it to Europe you need to make terminals as well. So -- and also the fact that we do it in Greece, and it's not an accident that the other big projects also is in the south of Europe, in Spain, because there is a lot of sun here. So, you can imagine you have 2.5 times the sun in the south as we have let's say in outdoor, then we produce hydrogen 2.5 times cheaper. So, the -- even though we haven't gotten the approval for the White Dragon or Green HiPo, we feel confident that -- an optimist, but I cannot say that we got or not. But all the things go there. Having said that, and I think Kevin said it again, and I will say we project $23 million for this year without any significant contributions. And I know it's a tough year. We have COVID, we have supply chain issues, manufacturing companies are not very much in favor. But for us, traded at   right now, we believe we are vastly, vastly grossly undervalued. Because if you take a look at the sector, and I mentioned the companies before, take a look at their valuations and take a look at their revenue, the total revenue, as it's defined, how much everybody spends in order to make this revenue, if there is any debt or not, you will see that we're in the wrong side. So, I think I'm optimistic that, in 2022, we will get our fair share. Thank you.
Unidentified Analyst: Thank you.
Operator: We now have our next question on the phone line from Lacie Midgley of Panmure Gordon. So, please go ahead when you're ready, Lacie, I've opened your line.
Lacie Midgley: Hi, Vasilis. Can you hear me okay?
Vasilis Gregoriou: Yes, Lacie. How are you?
Lacie Midgley: Yes. Hi, Vasilis. Hi, Kevin. Firstly, congratulations on the result, and thanks for the presentation. Couple of questions, probably two actually for Kevin, I'll say. You've given the revenue guidance, but how should we think about that in terms of MEA sales, stack sales, and system sales going forward? Is there any dramatic split for this year there, and perhaps for next year, and the year after? And I'll let you take that one first.
Kevin Brackman: Yes, after the acquisition of SerEnergy, I think moving forward, probably over half our revenue will be fuel cell systems, the full system, with the remainder being split between MEAs and engineering fees. I -- depending on the year, I don't know exactly which of those two pieces will be more significant, MEAs or engineering fees. So, a little over half from systems, and then the remainder MEAs and engineering fees.
Lacie Midgley: Thank you, that's helpful. And then just sort of thinking of costs, particularly for your CapEx, R&D costs over the, well, I guess 12 months, for a start. Is that focused on one -- I mean, firstly, some guidance there, if you can, would be helpful. And how should we think about that in a single environment, like focused on one particular area, MEAs, stacks, or systems, or all three. Any color there would be helpful.
Kevin Brackman: Yes, let me go down the individuals lines on the P&L and provide a little bit of guidance on each. So, let me start with research and develop expenses, it was $2 million in the fourth quarter. I think that's a reasonable number moving forward on a quarterly basis, the $2 million that we had in the fourth quarter. So, I think that's -- and that's mostly cash. The administrative and selling expenses, that was $14 million in the fourth quarter, which included some accruals for incentive compensation and other items. So, I think that number was a little bit high in the fourth quarter. I think moving forward on a quarterly basis, that SG&A number will be more like $10 million to $12 million which includes, let's say, roughly $3 million, $3.5 million of stock-based compensation expenses, which are non-cash. So, that's the SG&A line. And then CapEx, I think we had, I believe it was around 1.5 in the -- 1.6 something like that in the fourth quarter, I think that's probably a reasonable run rate again on a quarterly basis, and so on a cash basis, when you add those three lines up, let's say $11 million from SG&A, but $3 million of that is non-cash. So, let's say, $8 million of cash for SG&A, $2 million for R&D, and then, $1 million-$2 million per quarter from CapEx, gives you a run rate of about $11 million-$12 million of cash use for our costs.
Lacie Midgley: Thank you. That's really helpful. Appreciate that. And then, I guess, well, probably more silly type questions, but when White Dragon and Green HiPo projects, you know, what if and when they're approved, will Advent service that demand from, which of your sites until you need extra capacity sort of coming on stream to meet the demands of those, I guess you will, given the size, but just your thoughts on that would be good.
Vasilis Gregoriou: Yes, absolutely. As we said, we have separated the two; the existing business, which is very strong and growing, and this will be colossal project. Again, obviously, as you very well pointed out, capacity is the question, is not the finance and engineering project, or a project like that, we know how to negotiate and get the final numbers. The thing is, how do you actually fulfill the demand? And then, we have already announcements, we have the announcement with BASF, and we're talking to other very big players, okay. So, the thing is that we are preparing very diligently as if this is a call, because the return is humongous. The most important thing, less than you probably know it, is the access to cheap renewable energy. That's the key. And the minute we share with them, we do have that in Western Macedonia, then the rest that can be built. So, we're preparing, and we're ready, and hopefully we are successful.
Lacie Midgley: Thanks, Vasilis.
Vasilis Gregoriou: Thank you.
Lacie Midgley: Thank you. One last one from me, sorry; the largest stacks for the heavy-duty applications you're developing, what's the sort of next milestone? I think we said sort of prototypes in this financial year expected; you're still on track for that. And when should we sort of be thinking of expecting first sales on that site? Thank you.
Vasilis Gregoriou: I'm sorry. I think I missed the first part of the question, what is the question?
Lacie Midgley: Sorry, Vasilis, the development of your largest stacks for the heavy-duty applications, just trying to think the next milestone there, is still prototypes this year, and when we should sort of expect the first sales on those?
Vasilis Gregoriou: Very, very big one, we're trying to do a JV, you understand that, right? So, it has been a project of the nature again, it's very intense both in labor and costs. So, we're building things either organically from the SereneU five-kilowatt module, we can go up, we know how high can we go in order for this to be economical. We have couple of demonstrations, you see the board demonstration 90 kilo but the other one, which is a very different concept, we build it in smaller modules, to be honest, because we haven't figured it out internally either, if we want to go with many  or one mega. But the concept is there, our patterns are there, and the group is working very good. But there in our opinion, and we should see more one of them. There is a lot of interest in the community, as people who understand about doing a JVA with us because they've seen the announcement and the game changer is the NBA coupled with the obviously the new start design for the bigger systems. So, I expect things to go there, but we need the catalyst, if you will and the catalyst will be the JV with the manufacturing company.
Lacie Midgley: Understood. Thank you. Thanks for answering my question.
Vasilis Gregoriou: Thank you.
Operator: Thank you, Lacie.  We now have another question on the line from Adam Forsyth of Longspur Capital. Sir, please go ahead when you are ready, Adam.
Adam Forsyth: Good morning, Vasilis. Good morning, Kevin. Two questions from me. Firstly, around supply chain issues which a lot of companies are seeing issues with. One of the first things I noticed in the numbers was actually your inventory level, it almost looks like you've got one year's worth of inventory sitting on the balance sheet. Is that right or other one-offs in that? And if it is right, does that give you protection against supply issues going forward? And should we expect that sort of almost 360 odd stock days, should we expect that to unwind going forward?
Vasilis Gregoriou: Yes, that is a good question. So, to your point, we're seeing the same cost pressures that every other company is seeing. And so we strategically bought inventory and materials really starting late last year, we strategically increased our inventory levels to help mitigate some of the impact of the cost pressure. And so, you're right, we have built up the inventories to a higher level than you would normally expect to have. That was a strategic decision we made. And yes, as we go through the course of the year, I would expect that to wind down.
Adam Forsyth: That makes a lot of sense. And second question a bit more kind of general, but it's almost on things we're not seeing, I just wonder, have you seen much business on the gas sensor side, and then perhaps less likely anything around electrolysis? And I'm seeing quite a number of offerings, particularly from solid oxide solutions in the electrolysis space. And I wonder if that's been an area where somewhere where you would seem to have an advantage with your technology, I just wonder if you're seeing anything around that?
Vasilis Gregoriou: Yes, I mean we do have the sensor going. And we do as Kevin said though, we have actually turned the corner and we are a fuel cell company now. So, in that respect, the fuel cell company here is more effort and we put a lot of, a lot of our effort in the engineering and how to reduce the cost, how to sell these things, that doesn't mean that we don't operate the others and materials, but not in our opinion, as important as it used to be. At the end of the day, the sales combination of all that now about the electrolysis, we have excellent, excellent material, and excellent stack there, and you will see the patents come in and nice collaboration with Northeastern University product as well. But time is of the right, you know that when we go to again situation there, we have to collaborate with existing people, we have to use existing technologies, where they're, whatever the power density is, and try always to make it better, but we can win the battle with what we have, I think that's the message I want to bring out to the group, "Okay, the economics now has changed to our advantage. Okay, everything else has become expensive. Therefore, we're not that expensive." Second, the government said, want to bid the bigger projects because we have a bigger project, by the nature of scaling up, the cost goes down, it goes down dramatically. And therefore you might not have to invent every day, you know, new MEA or something; we're talking about electrolysis piece now because we know there are also these. So, I would say that we put in together and investor day not only for the investors that all said, but also to showcase our products, our results, our technologies that will happen in the next couple of months, I will say. And I think there will be an excellent opportunity for people to come and ask questions. What we have in materials, in membranes and electrodes which are our strength but also I think people were very impressed with the progress that the Danish people, the Demark people have done, and actually have created another type of fuel cell, high temperature PEM fuel cell, based on our materials, but the engineering also is there. And now I think we can offer hundreds of them, and if you take a look around, there are not many companies in the fuel cell business that can do that, that you can put a big order, and I'm talking about larger companies, because as you know, larger companies especially in this thing, the barrier is very significant to enter in an industry. In the end of the day, you have to go back to the standard factors, if you will, right. I mean the people who have the low temperature PEM technologies, the solid oxide as we mentioned, and now we brought the high temperature PEM. So, I think we should concentrate a little bit of that and showcase it, and not -- you know, traded like a spark. I have to make a comment about that as well. We came in with a spark transaction. It has its own idiosyncrasies, we know that, but I want for us to start thinking outside of that because the pipe is out, we had the unlocking on February the 5th, a very substantial volume in the last couple of months. So, basically we decouple ourselves from that. Then I think it's very unfair to ask to trade this spark in 238 shares, you know, two times plus and maybe three times if you take away the cost, and actually try to see us as a fuel cell company with global rates enlisted in the U.S. now. But we will compete not only with U.S. companies, by the way, the companies that are listed in other places, and if you see that, I think that you will agree with us that the company has a lot of value, and it's poised through for a very good growth in 2022. Thank you.
Adam Forsyth: Great, thank you.
Operator: Thank you.  We now have the next question on the line from Sanjay Jha with Panmure Gordon. Sir, please go ahead when you're ready.
Sanjay Jha: Hi, gentlemen. Just wanted to ask a couple of questions, if I may, how -- if I look at your revenue profile this year and -- coming up here, how important is Philippines and Thailand to your business? And I just wanted to get head around, is your high temperature product line, is that kind of more suitable to those countries or -- you know, just wanted to get my head around those kinds of issues.
Vasilis Gregoriou: Yes, you're right, they are very important. I think we're ideally suited for this part of the world. And that's where we will put a lot of effort, a lot of technical sales effort to educate the people there and use the very nice examples that we have in the Philippines as a showcase. So, this region is very important for us, and it couples very well to the product offering.
Sanjay Jha: And how developed is the hydrogen -- presumably you need high quality hydrogen, so is that infrastructure…
Vasilis Gregoriou: No, no, no. There we use methanol, and actually we use renewable methanol, which is carbon-neutral fuel. So, the methanol is a hydrogen carrier. So, it's very ideal, you bring up the jungle where when you have the installation, where you have the towers you bring liquid fuel, which needs I think about it's like liquid hydrogen in a way, right, because of the fact that we take the hydrogen from the methanol. So, it's very .
Sanjay Jha: Okay.
Vasilis Gregoriou: As you know, every new product has its own  , the same standard problems, okay. It's more expensive that people will want, it lasts a little bit less that they want, and that's what we're trying to address. We can make the product cheaper, make it last longer, learn how to make many thousands of them, many hundred thousands of them, but this region over there to come back to your original question, is this ideal, and we will put a lot of effort there.
Sanjay Jha: And just one final thing from me, I mean, I know there has been lots of talk about increases in costs, raw material costs and things, could you remind us what is kind of your -- two or three things which are your biggest expenses in your product line? Raw material expenses?
Vasilis Gregoriou: As you know, the platinum is expensive, but for the stationary things, the plan is to recycle. So, basically we take it out of the equation. And now all the supply chain is going up, you know, the electronics, things like that because there is a shortage, but -- 
Sanjay Jha: Yes.
Vasilis Gregoriou: And we will address, as I said, we are trying to be smart even before when we got the money from the stock market, you know, with a big inventory, because we know that it's better to share  to do your things before  get the supplies in line. And in that respect, we have pressure now from these external factors. But eventually if you look at long way, and you take the platinum out, because the platinum is the issue with the fuel cells, okay, it's a technology that really works well with platinum, and platinum, even though we always try to reduce that. So, for the back-half of off-grid, we almost neutralize that problem, okay.
Sanjay Jha: Okay, that's good. Okay, so you're well covered for at least given your inventory levels. Thank you for answering my questions.
Vasilis Gregoriou: You're very welcome.
Operator: Thank you.  We have no questions registered at this time. So, I'd like to hand it back to the management team.
Vasilis Gregoriou: I would like to thank everybody for being on the call, and we're looking forward to a very good 2022. Thank you very much.
Operator: Thank you. This does conclude today's call. Thank you for joining. You may now disconnect your lines.